Operator: Good morning, ladies and gentlemen, and welcome to the Genworth Financial's Third Quarter 2024 Earnings Conference Call. My name is Lisa and I'll be your coordinator today. At this time, all participants are in listen-only mode. We will facilitate a question-and-answer session towards the end of this conference call. As a reminder, this conference is being recorded for replay purposes. Also, we ask that you refrain from using cellphones, speakerphones, or headsets during the Q&A portion of today's call. I'll now turn the call over to Brian Johnson, Senior Vice President of Financial Planning and Analysis. Please go ahead, sir.
Brian Johnson: Thank you and good morning. Welcome to Genworth's third quarter 2024 earnings call. The slide presentation that accompanies this call is available on the Investor Relations' section of the Genworth website, investor.genworth.com. Our earnings release and financial supplement can also be found there, and we encourage you to review these materials. Speaking today will be Tom McInerney, President and Chief Executive Officer; and Jerome Upton, Chief Financial Officer. Following our prepared remarks, we will open the call up for a question-and-answer period. In addition to our speakers, Jamala Arland, President and CEO of our U.S. Life Insurance business; and Kelly Saltzgaber, Chief Investment Officer, will also be available to take your questions. During the call this morning, we may make various forward-looking statements. Our actual results may differ materially from such statements. We advise you to read the cautionary notes regarding forward-looking statements in our earnings release and related presentation as well as the risk factors of our most recent annual report on Form 10-K as filed with the SEC. This morning's discussion also includes non-GAAP financial measures that we believe may be meaningful to investors. In our investor materials, non-GAAP measures have been reconciled to GAAP where required in accordance with SEC rules. Also, references to statutory results are estimates due to the timing of the filing of the statutory statements. And now I'll turn the call over to our President and CEO, Tom McInerney.
Thomas McInerney: Thank you, Brian. Good morning everyone and thank you for joining our third quarter earnings call. In the quarter, we continue to execute against our strategy that is driving long-term growth and shareholder value. Before I review our strategic progress, I will start with our financial performance on Slide 3. Genworth reported net income of $85 million or $0.19 per share and adjusted operating income of $48 million, $0.11 per share, and app continued to lead its performance, contributing $148 million to adjusted operating income. We're very pleased with NAC's operational strength capital levels and consistent shareholder distributions. On a statutory accounting basis, the U.S. life insurance companies reported an estimated pre-tax loss of $18 million, driven by unfavorable mortality and higher new claims as well as lower benefit from legal settlements. Complete statutory results will be available when we file our third quarter statutory statements later this month. Our liquidity position remains strong. We ended the quarter with cash and liquid assets of $369 million inclusive of approximately $162 million in advanced cash payments. Jerome will cover our financial performance by segment in more detail shortly. Throughout the quarter, we advanced each of Genworth's three strategic priorities as detailed on Slide 4. Our first priority is to create shareholder value through Inc's growing market value and returns. We remain very pleased with our approximately 81% ownership of Enact, which has contributed approximately $819 million in capital to Genworth since its IPO, including $81 million in the third quarter. Since its IPO, Enact has delivered a total shareholder return of 95% as of November 4th, which relative to the S&P 500's total return of 34% over the same period of time, reflects the significant value Enact has created for Genworth shareholders. Consistent and significant cash flows from Enact enabled Genworth shareholder return programs, year-to-date through October, we repurchased approximately $144 million worth of shares, bringing our total repurchases to $503 million since May of 2022. We are also using cash flows from Enact to fuel long-term growth initiatives, including our targeted investment of $35 million in CareScout Services for 2024, enabling us to scale the CareScout quality Network across the U.S. Our second strategic priority is to maintain our self-sustaining customer-centric LTC life and annuity legacy businesses. Our multiyear rate action plan or MYRAP continues to be our most effective tool to bring our legacy LTC insurance portfolio closer to breakeven. In the third quarter, we secured $124 million in gross premium approvals with an average premium increase of 53%. This brings our cumulative progress to an estimated $30 billion on a net present value basis since 2012. Our advancement of the MYRAP in the third quarter included progress on our oldest products and in historically challenging states for rate actions. This progress underscores the growing recognition among likes of their critical role in supporting LTC Insurers' ability to meet policyholder obligations. Strong progress on our MYRAP as well as the LTC legal settlements and ongoing active management of our LTC business have significantly reduced and will continue to reduce the tail risk on our legacy LTC block. This active management enables our U.S. life insurance companies to continue to operate as a closed system, leveraging existing reserves and capital to cover future claims and other obligations. Our third strategic priority is to drive future growth through CareScout with innovative, consumer-focused agent care services and funding solutions. As you'll see on Slide 5, CareScout quality network continues to scale rapidly nationwide, extending coverage to 49 states as of October 31st. The network now includes 422 high-quality, person-centered home care providers who undergo a rigorous credentialing process covering more than 20 metrics. Currently, over 90% of offering hourly rates below the general meeting cost of care and their respective ZIP codes with many agreeing to 20% discounts off their standard rates. We are on track to achieve nearly 85% geographic coverage of the aged 65-plus census population in the U.S. by the end of this year. It is important to remember that we're still building the business with plans to expand our customer base and offerings over time. While the CareScout quality network currently includes only home care providers, we plan to add assisted living communities in large metropolitan statistical areas next year and other care types over time. In 2025, we plan to extend CareScout services to other LTC insurers policyholders and also introduce a direct-to-consumer offering to help families without long-term care insurance find quality care at preferred rates. For our own policyholders, our goal remains to drive savings of at least $1 billion to $1.5 billion on LTC claims on a net present value basis over time, further mitigating risk in our legacy LTC block. In addition to agent care services, we are developing new funding solutions for the millions of aging Americans unprepared for the cost of care. Our upcoming individual product is designed with conservative assumptions and cap coverage limits to reduce the need for LTC premium increases in the future. It will include access to our CareScout quality network, helping policyholders maximize their claim dollars. We continue to work with the Interstate Insurance Product Regulation Commission, known as the Compact to help us secure multistate approval before launch and have completed our initial product filing. There is a significant unmet demand in the market for new and improved LTC funding products among consumers, distributors and regulators. We are excited by our plan to reenter the market in 2025 and with the goal of obtaining the required approvals in at least 25 to 35 states. Launching our new growth strategy with CareScout has been made possible by the financial flexibility we've built over the last decade, reducing debt from $4.2 million as of the beginning of 2013 to $821 million today. As a result of the significant achievement as well as our unparalleled industry experience, we are uniquely positioned to capture the growing market demand for agent care services while generating long-term value for our shareholders. I look forward to sharing more about our progress in the coming quarters. Before I hand it over to Jerome, I want to take a moment to acknowledge the growing national conversation around meeting long-term care challenges in our country. As reported in our 2023 cost of care survey, the median annual cost of a home care health aid now exceeds $75,000 and a semiprivate room in a skilled nursing facility cost more than $100,000 per year. These figures are likely to rise significantly as the baby boomer generation ages and as a shortage of skilled workers in the space continues to pose challenges. I believe strongly in the need for public-private partnerships in addressing rising LTC costs as well as the impact those costs have at our workforce as more Americans step away from their jobs to care for loved ones often to defray the high cost of care. Several states in recent years have been considering a range of funding solutions for long-term care needs. At the Federal level, [Indiscernible] Champion by representative of Tom [Indiscernible], aims to create a Federal LTC program funded by our payroll tax to help Americans manage long-term care costs. More recently, both U.S. presidential candidates include long-term care-related policy proposals in their agendas. While each of these proposals presents its own benefits and challenges, the emergence is an encouraging sign that our nation is increasingly recognizing and addressing the long-term care crisis. We remain committed to engaging with the states Congress and the next administration to advance responsible, effective solutions. In closing, I am proud of our ongoing progress against our strategic priorities and the strong performance we continue to see from Enact. With that, I'll turn the call over to Jerome for a deeper discussion of our financial results.
Jerome Upton: Thank you, Tom, and good morning, everyone. I'm pleased with Enact's continued strong operating performance the progress on our MYRAP, our debt optimization, and the capital returns we delivered in the quarter. I'll first discuss Genworth's financial results and drivers in more detail. Then I'll provide a preview of our U.S. Life fourth quarter assumption review process, followed by an update on our investment portfolio and holding company liquidity before we open the call for Q&A. As shown on Slide 6, third quarter adjusted operating income was $48 million, driven primarily by Enact. Our long-term care insurance segment reported an adjusted operating loss of $46 million. This was driven by a liability remeasurement loss from actual to expected experience, partially offset by favorable cash flow assumption updates related to IFA approval amounts. As a reminder, actual to expected experience drives GAAP results in LTC and fluctuates quarterly, including from seasonal mortality trends. For the full year, we continue to expect the liability remeasurement loss from actual to expected experience. Going forward, we expect continued GAAP earnings volatility in LTC as short-term results deviate from long-term assumptions. The strong results from Enact were also partially offset by adjusted operating losses of $27 million in life and annuities and $27 million in corporate and other. Within life and annuities, life insurance posted an adjusted operating loss of $40 million, driven by unfavorable mortality. This was partially offset by adjusted operating income of $6 million from fixed annuities and $7 million from variable annuities. Corporate and other reported a $27 million loss driven by interest expense on holding company debt and growth investments in CareScout. Sequentially, Corporate and other was primarily impacted by the timing of tax-related items. Now, taking a closer look Enact's performance on Slide 7. Enact delivered another strong quarter with $148 million in adjusted operating income a 10% year-over-year increase, reflecting reserve releases, driven by continued favorable cure performance alongside strong net investment income. Primary insurance in force grew 2% year-over-year to $268 billion, supported by new insurance written and continued elevated persistency. As shown on Slide 8, Enacts favorable $65 million pre-tax reserve release drove a loss ratio of 5%. Enact PMIERs sufficiency ratio remained strong at 173% and or approximately $2.2 billion above requirements. Genworth's share of Enact's book value, including AOCI, has increased to $4.1 billion at the end of the third quarter of 2024 and up from $3.8 billion at year-end 2023, while at the same time, Enacts delivered significant capital returns to Genworth. The combination of Enact's quarterly dividend and its share repurchase program generated a total of $81 million in proceeds to Genworth in the third quarter. We now expect total capital returns from Enact to be in the upper end of our $245 million to $285 million guidance range for the full year, further supporting our capital allocation priorities, which I will detail shortly. On Slide 9, we highlight the significant progress made on our MYRAP. As Tom mentioned, this includes successful rate actions on our oldest products and in states historically slow to improve increases. As we work to stabilize the legacy LTC block and protect our claims paying ability, the premium rate increases and associated benefit reductions from MYRAP as well as legal settlements have significantly reduced tail risk. As of the end of the third quarter, we have achieved approximately $30 billion of in-force rate actions on a net present value basis with a cumulative policyholder response rate of nearly 57% choosing to reduce benefits. Slide 10 shows that we secured $124 million in IFA approvals on a gross incremental basis in the third quarter, bringing the year-to-date total to $303 million. We also submitted $172 million in in-force premium filings in the quarter, bringing the year-to-date total to $276 million. Based on strong approvals in prior years, we expect that total in-force premium filings submitted this year will be lower compared to prior years. We are pleased with the continued success of MYRAP which remains our most effective tool for ensuring the long-term self-sustainability of our legacy life insurance companies. As we've said before, we believe statutory results better represent the underlying economics of the LTC business as they reflect the positive impacts of our in-force rate actions and legal settlements. As shown on Slide 11, in-force rate actions and legal settlements had a $1.3 billion pre-tax benefit to LTC statutory income year-to-date, $199 million higher than the same period last year. The increase is primarily driven by the net favorable impacts to the third and final legal settlement, which began in the second quarter of 2023. The favorable impact is expected to continue to trend downward into the fourth quarter as the final settlement activities come to a conclusion. Slide 12 shows our pre-tax statutory results for the U.S. life insurance companies. On a year-to-date basis, we generated pre-tax income of $411 million. In the third quarter, we had a loss of $18 million, down from income in the prior quarter due to a smaller benefit from LTC legal settlements, higher LTC claims and unfavorable mortality in the life and annuity products. Statutory earnings drove a consolidated risk-based capital ratio for Genworth Life Insurance Company, or GLIC, of 317% at the end of September compared to 319% at the end of June and 303% at the end of 2023, reflecting our strong statutory earnings year-to-date. The quarter-over-quarter change was driven by a slight increase in required capital as we continue to grow our limited partnership portfolio. GLIC's consolidated balance sheet remains sound with capital and surplus of $3.7 billion as of the end of September. Our final statutory results will be available on our investor website with our third quarter filings later this month. As we look ahead, I'd like to discuss our approach to this year's annual assumption review, which will be completed in the fourth quarter. While our review is still ongoing, we have been monitoring key trends and can provide some preliminary perspectives. In LTC, our review is focused on short-term trends and key assumptions such as benefit utilization, incidents, mortality and in-force rate actions. For our life and annuity products, we are reviewing mortality, lapse rates and the potential impacts of the recent decline in interest rates. As a reminder, our assumption updates for our LTC, life and annuity products in the aggregate in fourth quarter 2023 resulted in a negative impact to pre-tax GAAP earnings of approximately $300 million. While our review is not yet complete, our preliminary view is the impacts from the assumption updates in the aggregate would be in a similar range for GAAP as the prior year. In parallel with the assumption review, we are conducting statutory cash flow testing for our life insurance companies. While this process is not yet complete, our initial assessment indicates that GLIC margins should remain positive. Additionally, certain of our universal life secondary guarantee products require additional statutory reserve testing using the regulatory prescribed reinvestment rate for the period from July 2023 to June 2024. Given that interest rates were higher during this period compared to the prior year, we expect a favorable impact from the reinvestment rate. From a statutory income perspective, we believe the reinvestment rate benefit will help offset any potential negative impacts from the assumption updates. The prior year impact was materially favorable given the significant increase in the prescribed reinvestment rate. We will discuss the results of our assumption reviews and statutory cash flow testing on our fourth quarter earnings call. As we've said before, we manage the U.S. life insurance companies on a stand-alone basis. They operate as a closed system using existing reserves and capital to meet future claims and obligations. We will not put capital into the legacy life insurance companies and given the long-tail nature of our LTC insurance policies with peak claim years still at least a decade away, we do not expect capital returns from these companies. Turning to Slide 13. Our investment portfolio remains strong. The majority of our assets are in investment-grade fixed maturities, held to support our long-duration liabilities. New investments during the quarter achieved yields of 5.8% and our alternative assets program continues to generate strong returns, targeting approximately 12%. We maintain confidence in our commercial real estate exposure, which accounts for approximately 15% of the portfolio and is concentrated in high-quality investment-grade assets with less than 20% office exposure. Next, turning to the holding company on Slide 14. We received $81 million in capital from Enact and ended the quarter with $369 million of cash and liquid assets. Included in our cash and liquid assets, we hold approximately $162 million of advanced cash payments from our subsidiaries for future obligations. We do not consider this cash when evaluating holding company liquidity for the purposes of capital allocation or calculating the buffer to our debt service target. Tom reviewed our capital allocation strategy, and I'll reiterate that our top priorities shown on Slide 15 are to invest in long-term growth through CareScout, return cash to shareholders through our share repurchase program when our share price is below intrinsic value and opportunistically pay down debt when attractive to us. We continue to return capital to shareholders through share repurchases in the third quarter, repurchasing $36 million of shares at an average price of $6.38 per share and another $10 million through the end of October. We have $197 million remaining under our current authorization as of the end of October and now expect to allocate between $160 million to $180 million to share repurchases in 2024. Our final amount for the full year may vary depending on our share price and market conditions. And as a reminder, the amount will be lower than we repurchased in 2023 given that we have fully utilized our holding company tax assets. Since the initial authorization in May of 2022, we have reduced outstanding shares by 16%. And from approximately 511 million shares to 427 million shares outstanding as of the end of October. We're very pleased with the value created for shareholders through our share repurchase program. We also retired $17 million of principal debt in the third quarter for $15 million in cash. Year-to-date, we have retired $35 million of principal debt, bringing our total holding company debt to $821 million. Our debt-to-capital ratio is well below 25%, attributing no equity value to LTC, life and annuities. Additionally, we executed $100 million interest rate swap on our subordinated floating rate debt locking in an approximate 5.5% yield to manage interest rate risk more effectively. We are pleased with our financial flexibility given our liquidity level, sustainable cash flows from an Enact and manageable debt level. In closing, we are delivering on our strategic priorities, while proactively managing our liabilities and risk. The multiyear rate action plan and the additional benefit from the three LTC legal settlements are further stabilizing the legacy LTC block. Enact as a key driver of shareholder value as evidenced by its strong earnings, increasing book value and increased capital returns. Looking ahead, we will continue to focus on delivering sustainable long-term growth through Enact and CareScout while returning meaningful value to shareholders through share repurchases and opportunistically repurchasing holding company debt. Now, let's open up the line for questions.
Operator: Ladies and gentlemen, we will now begin the Q&A portion of the call. [Operator Instructions] And our first question comes from Brett Osetec with KBW.
Brett Osetec: Hey good morning. My first one is on the AXA Santander lawsuit. I think the case is still set for March of next year, but if there is a positive ruling for you guys there, could you just comment on the potential use of proceeds?
Thomas McInerney: Well, Brett, thank you very much for the question. So, yes, the trial data is still set for March 2025, it is possible there could be a settlement before them, but that's the March date. To the extent that we win that case, and we've been saying for a long time, we think we like our side of -- or the access side of that lawsuit. And I think the focus for any proceeds would be to continue to do what we've been doing, return capital to shareholder through the share repurchase program. I think you'd see us step up that in the play. We'll continue where there's good opportunities, a good pricing to buy back the debt. And then obviously, we want to continue to invest in CareScout services business, which, as both Jerome and I talked about, is doing very well, gaining very good momentum and then also investing in the new CareScout Insurance business when we launched the first product sometime next year. Jerome, I don't know if you want to add anything to that?.
Jerome Upton: I think you covered it well, Tom.
Brett Osetec: Okay, great. Thanks. And then for my follow-up, I was just hoping you guys could give a little more color on how the CareScout revenue model will work beyond potential savings on LTC claims?
Thomas McInerney: Yes. So basically, maybe just to try to make it simple, Brett, it's a good question. But as I said in my remarks, the annual cost for Home Care is about $75,000 a year. So, let's say, roughly a little over 6,000 a month. And our we're doing very well on the discounts, I think 90% are in the 20% range. So, if you just say the savings through the discount on the good policy so $1000 a month, $250 of that goes to CareScout services because they've built and maintained the network and then $750 of the $1,000 a month savings is retained by terms of lower claim costs. So, that's the basic model.
Brett Osetec: Okay, great.
Thomas McInerney: Thanks Brett.
Operator: And we'll move to our next question from Joshua Esterov with CreditSights.
Joshua Esterov: Hello. Good morning. Thank you for taking the time. I've got two questions on CareScout. The first one is maybe more of a clarifying question. And that's -- how do you define coverage percentage in your presentation material? Is that as straightforward as you have just at least one care provider in the ZIP code where age 65 plus are located? And then separately, before I hop back into the queue, how do either the insurer or the policyholder become aware that there are services available to them at potentially lower prices, especially with regards to non-general policyholders?
Thomas McInerney: Those are great questions, Josh. And so the first one, in terms of CareScout, we look at the coverage by ZIP Code. And so depending -- obviously, you would expect in those ZIP codes in bigger cities, there will be several providers in the network in that area. As you get to the more rural areas, I mentioned we were in 49 states. The one state we're not fully in yet is Wyoming. Obviously, it's a more rural state. . So, there obviously are ZIP codes that are -- where they're less populated and therefore, there are less 65-plus year-olds less Genworth policyholders. So on those ZIP codes, it would probably more typical that you might only have one, maybe two providers. So, that's basically how it works. And the second part of the question was touch points with insurers and policyholder. Yes. So touch points with insurance and policyholders. For our policyholders, we obviously communicate with them regularly, and we have been since we started the journey with CareScout services have been telling them about the network. When someone files a claim, obviously, we work to assess the claim determine if coverage applies. And then through that process, which takes on average 20 to 30 days. We'll talk about who are the providers in the network the discounts they provide, and that's out done. The last several months were with the click policyholders. We've been doing more than 100 per month of masses between the policyholder going on claim in the network. For the direct-to-consumer, from a broader perspective, we'll be marketing that this network is available in these states. Most of the providers are below the median cost of care in the state or the ZIP code and we credential for quality on 20 different dimensions. So, I think our whole value proposition there is we're taking all of the time and effort to find a provider away from the person needing care or typically their family. And at the same time, whatever the rate would be per hour for Home Care. Again, generally, we're getting significant discounts, 20% is sort of been where we've been out for most of the policyholders. Obviously, for the direct-to-consumer, where they don't have insurance, the savings are very significant since they're paying. So, we're very optimistic going forward. We got to first complete the network. We said by the end of the year, we want to be at 85% coverage. That's -- for practical purposes, that's pretty full coverage. There are always going to be, whether it's Wyoming or Montana, Idaho, other states like that, where we'll take time to fill in the gaps. So we think at 85%. That will be pretty much effective nationwide coverage -- and once we have that, we'll then begin to accelerate our marketing plans to let consumers in general know that the network is available.
Joshua Esterov: Appreciate that. Thanks.
Thomas McInerney: Thank you, Josh.
Operator: We'll move to our next question from Douglas Smith [ph] with Everest Group.
Unidentified Analyst: Good morning. I'd also like to focus on CareScout for a moment from understanding better how the entity impacts the parent company as opposed to what's going on in the ring-fenced insurance entities. I assume all the expenses of CareScout and the parent company level and trying to understand currently but the offsetting revenue might be? And kind of what the P&L looks like, if you will, on a standalone basis?
Thomas McInerney: So, Jerome, do you want to want to talk about that?
Jerome Upton: So, Doug, thanks for your question. I would start out by saying, and Tom highlighted in his prepared remarks, that we are investing $35 million in the CareScout services business. That is all contained in the corporate and other segment at this point in time. So that you will see coming through. And that's why we've highlighted the $35 million for you, so you can understand the investment we're making. We are going after a very large market, as Tom highlighted. So we're optimistic about what we're doing there. So expenses are in corporate and other. On the revenue side, CareScout services when they are saving our GLIC policyholders money because the providers are signing up for 90% or signing up for like a 20% discount. CareScout Services would get 25% of that, and that would come in the corporate and other as well. So it's mostly contained in the corporate and other segment.
Unidentified Analyst: And are there material revenues incorporate other offsetting a significant portion of that expense run rate?
Jerome Upton: So, there are revenues coming through on the assessment side, which is a service that is provided to GLIC However, when you have those assessments and they come through from GLIC and consolidation, we eliminate that revenue. There are some matches that are being made where there's a fee stream coming through from the Glick policyholders. But at this point in time, given the newness of the business, those revenue streams are pretty small.
Thomas McInerney: And the $35 million run rate would be net of whatever that offsetting revenue might be.
Jerome Upton: That is correct.
Unidentified Analyst: And then if CareScout did initiate an insurance product. Would that be inside or outside of the ring-fenced insurance entities?
Thomas McInerney: Another good question. That will be outside. So basically, think of -- you have the parent holding company, and it owns an app and Enact and the legacy life companies. And then separately, so a sister entity would be CareScout Inc., call that the holding company of CareScout. And then underneath that holding company will be CareScout services. That's the service business, and it's a fee business, not very capital intensive. And as you've mentioned, Doug, the ultimately will be the revenues from our share of the discounts, whether it's a Genworth policyholder, other insurers, policyholders, and we're talking to several other closed block LTC players on allowing their policyholders to use the network and take advantage of the discount. And then when we go to consumers, it'll be the same type of model that whatever that monthly savings is for home care, as I said, that's around $1,000 a month will negotiate a fee for CareScout services. But obviously, a significant part of that $1,000 a month savings will accrue to the benefit of the policyholder they have insurance and if they don't, then they're paying the cost, and so they'll get the significant part, the majority part of the discount. So, clearly, the goal is to have as many matches where we brought a policyholder, a consumer with a provider and 25% that goes to CareScout Services, obviously, in order to cover -- you can do the math, if we're saving -- if it's $250 a month out of the $1,000, typically our claims are a couple of years plus or minus. So it's about -- for the CareScout services share of that would be $250 a month so basically $3,000 a year. So you can calculate how many matches you need, whether they're our policyholders, other insurance policyholders or consumers in order to cover that $35 million investment. So it's a scale business. we're still completing the network. It usually takes about 90 days after you have a state or a ZIP code cover where you start to get batches. So we're very optimistic that this will ultimately be a very good business for us, given that we've got 70 million baby boomers and the oldest of those that are 78. This year in two years, there'll be they'll start to turn 80, almost 10,000 a day will 280 and early 80s is when the peak claim years are.
Jerome Upton: Doug, can I just add Doug, the 1 thing that I think are implied would be implied in both my comments and Tom's comments around CareScout Services is we are saving claims, there's claim savings coming through for the GLIC policyholders. And I think we articulated on the slide over time, we expect that to be meaningful to $1 billion to $1.5 billion. So, while we're building scale, we are going to be saving the GLIC policyholders money and like money. And that's $1 billion to $1.5 billion.
Unidentified Analyst: Okay. Thank you.
Thomas McInerney: Thank you, Doug. Good questions.
Operator: And our next question comes from Joshua Esterov with CreditSights.
Joshua Esterov: Hey guys. Thank you again for taking another one for me. In your prepared remarks on the fourth quarter LTC reserve review, -- you may note that you expect GLIC reserve margin to remain positive. Can you please remind us either where that margin is currently or where it was the last time you provided an update?
Thomas McInerney: Jamala, do you want to take that one? .
Jamala Arland: Yes. Thank you for your question, Joshua. When we did our cash flow testing, our statutory review of margin at year-end 2023. We were in the $0.5 billion to $1 billion range of that margin, and we do expect to maintain our statutory margin for GLIC in that same range this year.
Joshua Esterov: Understood. Thank you.
Operator: And ladies and gentlemen, it appears that there are no questions at this time. I will now turn the call back over to Mr. McInerney for closing comments. .
Thomas McInerney: Thank you very much, Lisa. I want to again thank Brad, Josh, and Doug for their questions. I think there are questions that a lot of our investors have. So, it was a good opportunity for us to elaborate a little bit more on that. We're very pleased with where we are. Obviously, and that continues to perform extremely well. solid earnings, good return on capital through their regular dividends to us as well as on the share buybacks. So we're pleased with that. The three priorities we talked about. We're making good progress on that, which is an addition to expanding the value of Enact for our shareholders. We're also making good progress with our legacy LTC business in terms of the MYRAP, very, very good results. And then finally, as we talked about and had some questions on, we're really scaling up the CareScout business. And we're very -- looking very forward to significant growth in that business in 2025 and beyond. So, with that, Lisa, I'll turn the call back to you to end the call.
Operator: Ladies and gentlemen, this concludes Genworth's Financial third quarter conference call. Thank you for your participation. At this time, the call will end.